Frank van Zanten: Good morning and welcome to Bunzl's 2023 Full Year Results Presentation. It's great to see some of you in the room today. Richard Howes, our CFO is also here. And after a short introduction from me he will take you through our financial results and business review. I will then provide an update on our strategic progress in 2023. But before we begin, I want to take this opportunity to thank all my colleagues for their excellent contributions this year to Bunzl's continuing success. Our people are truly our most important asset always delivering added value for our customers and ensuring that we remain their partner of choice. I am proud of that we remain -- I'm proud of Bunzl's highly entrepreneurial and agile culture in which employees find ways to consistently grow our profits year-after-year. These results once again highlight the ongoing resilience of our business model and extend our solid track record of success. In addition to our talented people, I would like to discuss the other elements that support my confidence in Bunzl's medium-term outlook for continuing to achieve quality growth. My confidence is based on our track record of success, particularly since 2019, as we've grown revenue by 26% at constant currency, while transforming the Group into a business with a structurally higher operating margin. There are three key messages, I want to leave you with today. Firstly, our businesses remain committed to continually enhancing our customer value proposition, which supports our GDP+ organic revenue growth model, investing in solutions, such as sustainability, digital and own brands further supports our offering, while a net inflationary environment will potentially benefit revenue growth in the medium-term. Secondly, our operating margin is now substantially higher than prior to the pandemic. This increase is supported by the higher-margin acquisitions, we have made over this period as well as the excellent work from our teams in managing margins and increasing own brand penetration. And lastly, thanks to the consistent quality of our cash generation, our balance sheet remains strong, providing firepower for further acquisitions and other capital allocation options. We have step-changed our acquisition spend in recent years, further boosting our organic growth and delivering good returns. Our pipeline remains active and there are many opportunities for further consolidation of our markets. These key components of our medium-term outlook are supported by the tailored solutions, we provide our focus on continuous innovation, our digital investments, our agile and resilient business model, and of course, our talented people. All these components will contribute to the business continuing to achieve quality growth. Turning to the main financial highlights of our results. We achieved our record operating margin in the year of 8%, a 0.6 percentage point increase over the prior year. This is supported by excellent work from our teams in managing margins and increasing own brand penetration. The increase in operating margin drove a strong 7.6% increase in adjusted operating profit at constant exchange and excluding the impact of our U.K. healthcare disposal, despite revenue on the same base is declining by 0.4%. We've made strong progress with our acquisition strategy during the year, agreeing 19 acquisitions in 2023 and for a total committed spend of £468 million. This takes us to £1.7 billion of total committed spend over the last four years. We have now also surpassed £5 billion of committed spend since 2004, while greatly improving our return on invested capital, which has increased from 13.6% at the end of 2019 to 15.5% in 2023. Return on average operating capital has also increased from 36.9% at the end of 2019 to 46.1% at the end of 2023. Both measures are significantly ahead of 2019 and some of this improvement has been supported by margin growth over this period. Our net debt-to-EBITDA was 1.1 times at the end of 2023, providing substantial headroom for acquisitions and other capital allocation options. Cash generation remains a key element of our model. Free cash flow was strong at £644 million supported by a disciplined focus across our teams on meaningfully reducing inventory, particularly in the first half. Lastly, we are announcing a total dividend that is 8.9% higher year-on-year, which is our 31st consecutive year of annual dividend growth. We've also made excellent strategic progress during the year. The 19 acquisitions we agreed in 2023, includes our first acquisition in Poland. We are also announcing two new acquisitions today Nisbets and Pamark. Nisbets is a well-established high-quality and own brand folks catering equipment and consumable business that operates in the UK and Ireland, Northern Europe and Australia -- Australasia. It is a large business and generates revenue of almost £0.5 billion. The second acquisition is smaller however, is our anchor acquisition in Finland a leading distributor called Pamark. This takes the number of countries in which we operate to 33. Furthermore, following a few years of reduced activity, we saw a significant increase in the level of customer tendering activity in the year with overall achieved good outcomes. This was supported by our ability to continually deliver value-added services and the strength of our own brand proposition. Alongside this, we remained focused on driving operating efficiencies with further 24 consolidations, and relocations in the year, as we continue to combine our warehouses into larger and more efficient spaces. We increased the percentage of orders processed digitally across the Group to 72%, which further improves our efficiency and enhances our ability to retain customers. We continue to progress our sustainability offering as we help customers to transition to products more suited to the circular economy. So, overall a robust performance, where we have achieved good profit growth and further delivered on our strategic objectives. I will now hand over to, Richard.
Richard Howes: Thank you, Frank and good morning everyone. With approximately 90% of adjusted operating profit generated outside the UK, our reported profit metrics on average were positively impacted by currency translation of between zero and three percentage points. All my comments are at constant exchange rates, unless otherwise specified. Starting with revenue, the Group has achieved strong revenue growth of 29% in -- from 2019 -- 2019 to 2022. Following this period of strong growth in 2023, revenue declined by 1.9% to £11.8 billion. However excluding the impact of the UK healthcare disposal revenue, declined by only 0.4%. Acquisitions contributed 2.5% to revenue growth. However, this was more than offset by a 2.9% decline in underlying revenues. The base business contributed 1.5% to the decline, reflecting the reducing benefit from inflation as well as volume loss in North America. The remaining 1.4% of the decline in underlying revenue was due to a further reduction in COVID-19-related sales, which have now largely returned to pre-pandemic levels. Going forward, we will no longer be separately disclosing the movements in COVID-19-related sales. Now turning to the income statement, adjusted operating profit grew by 6.2% to £944.2 million and by 7.6% excluding the UK healthcare disposal. Operating margin increased from -- strongly from 7.4% in 2022 to 8.0% in 2023. Net finance expenses increased by £22.6 million at actual exchange to £90.5 million as a result of higher interest rates and movements in fair value interest rate derivatives, partially offset by the lower average net debt. Adjusted profit before income tax increased by 3.4% to £853.7 million. The effective tax rate for the period was 25% compared to 24.6% last year, primarily the increase in the U.K. corporate tax rate. As a result of the higher adjusted operating profit partially offset by the increase in tax rate and interest expenses, the adjusted earnings per share increased by 2.7% to 191.1p. Now moving on to the cash flow. Our track record of delivering consistently strong cash generation continued in 2023. The group achieved above-target conversion of 96% and continues to generate strong free cash flow with £644 million generated during the year. We paid £209.7 million in dividends and had a net outflow of £23.7 million relating to employee share schemes. This left total cash generation prior to investments in acquisitions and disposal proceeds of £410.1 million. Cash outflow and acquisitions totaled £374.6 million. Now turning to the balance sheet. Working capital increased by £61.5 million since the end of 2022 to around £1.16 billion, mainly due to an increase from acquisitions. Underlying working capital increased slightly with a significant reduction in inventory being more than offset by lower payables. We ended the period with £1.1 billion of net debt excluding lease liabilities. Net debt to EBITDA on a covenant basis was 1.1 times compared to 1.2 times at the end of 2022. In addition to net debt, total deferred consideration -- deferred and contingent consideration relating to acquisitions was £259 million compared to £216 million at the end of 2022. This equates to the total committed spend expected to be paid out in the period to 2030 for those acquisitions, which have been completed by the end of 2023. The balance sheet includes the deferred consideration element of this liability and the accrued portion of the contingent consideration. This totals £176 million compared to £140 million at the end of 2022. Deferred and contingent consideration increases net debt to EBITDA by around 0.2 times. Return on invested capital and return on average operating capital are key focus areas for management. Return on invested capital was 15.5% compared to 15% at the end of 2022 with a higher return from the underlying business, partially offset by higher invested capital related to recent acquisitions, which temporarily dilute the metric. Return on average operating capital also increased from 43% at the end of 2022 to 46.1% at the end of 2023. I will now outline the sector performance in 2023. The healthcare, safety and cleaning and hygiene sectors saw combined underlying revenue decline of 1% over the period, but remains 6% higher than 2019. Our healthcare business was impacted by declines in Rest of the World, driven by the normalization of COVID-related sales in Asia Pacific and lower selling prices in Latin America, which offset growth in the other business areas. There was a slight decline in our safety business with some continued recovery in some businesses offset by a normalization of COVID-related sales. There is potential for our North American safety business in particular to benefit from increased infrastructure spend in the medium-term. Our cleaning and hygiene business remains below 2019 levels due to the impact of working from home trends, but recovery continues across most of the business areas and was particularly good in the UK and Ireland and the Rest of the World. Grocery grew by 2% year-on-year, mainly supported by inflation in Continental Europe. Underlying growth remains 23% ahead of 2019. Foodservice and retail combined saw 8% underlying decline. The foodservice business was primarily impacted by volume weakness in North America, a reducing level of inflation benefit over the year and latterly some deflation, which was partially offset by strong growth in UK and Ireland driven by inflation. As previously disclosed, volumes in foodservice in North America were impacted by a decline in takeaway packaging, sales and customer destocking early in the first half. Deflationary pressure has also been a factor in increasing competition in this sector. This alongside process changes in our redistribution business to drive more own brand penetration, resulted in lower volumes.  There are early signs that this strategy is already working, as we have grown our own brand penetration in 2023, which is part of the explanation for our strong operating margin performance in North America. This will put our business in a stronger position to deliver sustainable profitable growth over time. Retail was impacted by management's strategic decision in North America to focus on more profitable customers and transition ownership of customer-specific inventory to certain customers. Despite the decline this year, overall these sectors are still -- they still remain 11% ahead of their pre-pandemic levels. Now moving on to inflation dynamics. Product cost driven selling price inflation remains supportive to growth, but with a reducing benefit over the year. In North America, we saw reducing inflation benefit and price deflation towards the end of the year. The inflation benefit also reduced in other regions, which lagged North America although, overall inflation provided good support in Continental Europe and was strong in the UK and Ireland. Alongside this, our teams have managed operating cost inflation well, resulting in only a moderate increase overall.  Wages in North America were close to typical levels. However, property inflation remains high but was partially offset by fuel and freight rates declining meaningfully. Wage inflation in UK and Ireland and Continental Europe increased over the period as expected, but at levels lower than previously seen in North America and remain manageable. I would now like to give you an update on the drivers of our strong operating margin. Operating margin increased strongly from 7.4% in 2022 to 8.0% in 2023, and there are multiple drivers of this increase. Firstly, we continue to benefit from good margin management and increasing own brand penetration. In addition, it reflects some benefit of higher-margin acquisitions in 2022 and 2023. And furthermore, our continued focus on operational efficiencies such as investments in digital technologies and warehouse consolidation, continue to support our performance and partially offset operating cost inflation. Lastly, we saw some one-off benefits, with a total value of around £15 million primarily from lower inventory provisions in the second half following the reduction in inventory levels in the first half. We do not expect these to repeat in 2024. Operating margins have increased from 7.0% as reported in 2019. Of the one percentage point increase, around 0.5 relates to new acquisitions as a result of our strategic focus while the remainder has been driven by underlying margin increase. Our focus on improving our operating margin has driven a strong 7.6% increase in adjusted operating profit, at constant exchange and excluding the impact of our UK healthcare disposal. Overall, we have achieved a healthy 10% adjusted operating profit CAGR, since 2019. Now moving on to our business area performance, which reflects the dynamics we have already discussed. Although, we have seen underlying revenue decline in North America, our operating margin performance was strong driven by good margin management initiatives including own brand penetration. This also led to an increase in return on operating -- on average operating capital, which is very strong at 49.6%. In Continental Europe, the business saw slight underlying revenue growth driven by product cost inflation, despite the impact of COVID-related product decline and some volume weakness in some – in most markets. Operating margin increased by – driven by good margin management and a focus on improving our businesses in Turkey to drive profitability in a high – hyperinflation environment. UK and Ireland had good underlying revenue growth, driven by product cost inflation, customer wins and important customer contract extensions and recovery in certain markets, particularly grocery, foodservice and cleaning & hygiene. The recovery in the business supported by an increase in own brand penetration greatly benefited operating margin and return on average operating capital. Excluding the impact of acquisitions and the UK healthcare disposal adjusted operating profit increased by 21%. In the Rest of the World, underlying revenue declined by 3%, as a result of further expected COVID-related sales normalization, particularly in Asia Pacific, due to the non-repeat of some larger orders that were fulfilled in the prior year. Latin America was impacted by lower selling prices resulting from reduced inbound freight costs, weaker demand in our specialty footwear and foodservice businesses and current – currency movements. The strong margins in the Rest of the World were maintained. And with that I will now hand you back over to Frank.
Frank van Zanten: Thank you, Richard. Turning now to give some examples of our strategy in action, which demonstrate the drivers of our margin starting with organic growth. Across the Group, we are focused on increasing the revenue penetration of our own brands, which currently stands at around 25%. This has helped us improve our customer proposition as we offer them more tailored, sustainable and innovative solutions at competitive prices. Cleanline is our own brand range of highly specialized workplace and industrial cleaning solutions sold throughout the UK and Ireland. Since 2019, our teams have been focusing on improving Cleanline's specifications, increasing its competitiveness. We have also developed and introduced new innovative and sustainable products such as super concentrate solutions, which allows customers to add water to the chemicals at the point of use, reducing waste from the packaging, transport and storage of these products. Since 2019, we have introduced 48 innovative SKUs into the Cleanline range and have doubled its revenue. I now want to talk about operational efficiency, which is an integral part of Bunzl's DNA and a consistent focus across the Group. We continue to improve our operational efficiency by combining warehouses into larger and more efficient spaces and investing in technology. For example in 2023, we implemented improved route mapping software across our North America distribution division. The platform fully automates daily routing to eliminate delivery miles and optimize our truck utilization. This further enhances the efficiency of our consolidation model, achieving cost savings and lowering our carbon footprint. Furthermore, the new solution helped highlight opportunities in some locations to optimize route density of our deliveries over the course of a week. We work with customers in several locations to adjust delivery schedules and achieve these additional efficiency benefits as well as further reducing carbon emissions. The locations using the upgraded solution have increased the average cubic volume per route of our trucks by 6% and reduced delivery cost as a percentage of sales in this area by 0.4%. This is just one example of the many small improvements that we make across our business. Turning to acquisitions. I'm pleased to say that 2023 was another strong year for our acquisition growth with 19 acquisitions agreed in the year and our pipeline remains active. 2023 committed spend was £468 million meaning we have committed a total of £1.7 billion through acquisitions over the last four years. At the end of 2023, total committed spend since 2004 is £5.2 billion. Our acquisitions in 2023 spanned 11 countries including our first in Poland and five sector verticals. This demonstrates the exciting breadth of our opportunities for further consolidation and expansion. Through each of these acquisitions we continue to grow our customer base, enhance our capabilities, expand our product ranges and generate further opportunities for synergies. We have maintained our acquisition momentum into the start of 2024 with the two -- with the announcement of two exciting acquisitions. Let's start with the acquisition of Nisbets. We signed an agreement to acquire an 80% stake in Nisbets for an initial consideration of £339 million and options that enable Bunzl to acquire the remaining 20% stake. Nisbets is a leading omnichannel distributor of catering equipment and consumables in the UK and Ireland, Northern Europe and Australasia with a revenue of almost £0.5 billion. This is a high-quality business with an experienced and well-respected management team. The company has a strong own brand portfolio and excellent digital marketing and sales capabilities. This business will complement the Group's existing businesses in the catering distribution sector. It operates in one of our core sectors and in geographies in which we are present. Its extensive range of own brand products is a good addition to our portfolio and their digital marketing and sales capabilities will complement other online-focused businesses within the Group. When including the acquisition of Nisbets our net debt-to-EBITDA level increases by 0.3 times. Moving on to Pamark. Pamark Group is our first acquisition in Finland led by a strong management team. It is a leading distributor that provides us with opportunities to expand in multiple end markets including cleaning & hygiene, healthcare, foodservice and safety. We welcome our new colleagues in both businesses to Bunzl. As discussed acquisition momentum is good and we have plenty of opportunities for further consolidation. This familiar chart emphasizes the potential we have. The blue dots show our existing sector presence, while the dark gray cells show where we have completed at least one acquisition since 2018. You can see that the majority of our acquisitions over the last five years have been focused on the cleaning & hygiene, healthcare and safety sectors which typically have higher margins. New countries are highlighted in green. There are plenty of further opportunities to expand our sector and market presence and fill in the blank spaces. But our greatest opportunity for growth is to increase market share where we have an existing presence. Overall, very significant growth potential remains. Turning now to sustainability. Our overall sustainability proposition and ability to help customers achieve their own sustainability targets remains a key competitive advantage for Bunzl. Take for example how we were able to help Aramark one of our customers in Spain reduce their carbon footprint. We used our carbon footprint calculator to analyze all their delivery routes and calculate the emissions. The data showed an opportunity to reduce the volume of small orders by 34% by adjusting ordering patterns and consolidating more deliveries. Additionally, we have been able to ensure that last-mile deliveries to Aramark centers in Barcelona are zero emissions including by using electric fans and changing delivery schedules deliver -- to deliver at times when traffic is lowest. We also continue to take action on climate change. Since 2019 we have reduced our absolute carbon emissions by 18% and improved our carbon efficiency by 30%. We are on track to reach our target of 27.5% reduction and become 50% more carbon-efficient by 2030. On packaging, we continue to help customers to transition to alternative materials with this remaining, an opportunity for Bunzl while only 2% of our revenue is at risk from regulation. Turning to our 2024 outlook. We are maintaining our 2024 profit guidance published in our pre-close statement. Following a slower-than-expected start to the year in North America, we now expect to deliver slight revenue growth in 2024 at constant exchange rates driven by announced acquisitions, with underlying growth, which is organic revenue adjusted for trading days declining slightly. Group operating margin for 2024 is now expected to be slightly below 2023. As to our disciplined approach, with capital allocation, our priorities remain, to reinvest our cash in the business to support organic growth and operational efficiencies; to pay a progressive dividend; to self-fund value-accretive acquisitions; and where appropriate distribute excess cash. Our progressive annual dividend growth policy has returned £2.2 billion to shareholders since 2004 and we are committed to extending our 31-year track record of sustainable annual dividend growth. Disciplined acquisition activity remains an important driver of growth within our compounding model and we continue to increase our level of committed spend on acquisitions as the Group continues to grow. In 2023, the committed spend of £468 million, was higher than the average over the three years prior of around £420 million -- £425 million. At the end of 2023, we had committed £5.2 billion to acquisitions since 2004. Our successful track record of consolidating our fragmented markets in a disciplined and value-accretive manner is demonstrated by a strong return on invested capital of 15.5%. Our acquisition pipeline remains active and we continue to see significant opportunities to increase our presence in our existing markets and expand into new markets. Including the acquisitions, we have announced today, our net debt-to-EBITDA ratio is 1.4 times on a pro forma basis, which means that we have substantial headroom to continue to invest in opportunities as they arise. Our framework favors these first three methods of allocating capital. However, the Board is committed to an efficient balance sheet and continually assesses the appropriateness of returning excess capital to shareholders. Bunzl's resilience, strong cash generation, and successful compounding growth strategy supports our ability to deliver sustainable dividend increase. Our announcement today of an 8.9% increase in our total dividend marks Bunzl's 31st year of consecutive annual dividend increases, and we continue to normalize our dividend cover to pre-pandemic levels. We have achieved a 9.6% dividend per share CAGR over that period, reflecting the quality of our earnings growth. We remain committed to continuing this track record. Before moving on to Q&A, I want to take a moment to reflect on the growth and resilience that our very consistent compounding model has delivered. Organic growth has contributed approximately one-third of our annual revenue growth based on the long-term 10-year average growth rate. It is driven by activity in our end markets, as well as new business wins and our development of innovative products and solutions for customers. Acquisitions contribute the remaining two-thirds of our growth driven by our position as the leading operator of scale in highly fragmented markets with a strong balance sheet and proven track record. We have stepped up our level of acquisition spend in recent years and our pipeline remains active. Good portfolio management progress in our strategic pillars, such as, own brand penetration, focus on sustainability, digital investments, and our talented people have all contributed to us achieving a strong operating margin of 8%, and a strong return on invested capital of 15.5%. All these components will contribute to the business continuing to achieve quality growth. Our success is also driven by the Group's operational and financial resilience, the resilience of our portfolio and our compounding growth model. Overall the success of our strategic focus is demonstrated by a strong total shareholder return, the consistency of our results and our long-term growth. My experience over the last few years has only strengthened my confidence in Bunzl's ability to continue to achieve quality growth in the future, and I'm very positive about the Group's prospects. Thank you for your attention. We are now very happy to take any questions. Please press and hold the button on the seat microphones to talk. Thank you.
Q - Rory McKenzie: Good morning, all. It's Rory McKenzie from UBS. Just firstly on that slightly lower organic revenue, can you give us the precise Q4 growth rate? And is there anything to be aware of with comparators into Q1 as we're just trying to think about how you're starting this year? Then secondly and more broadly, can you talk about what the deflationary environment in the US means for your business? You added a comment to the statement about seeing a more competitive market. I know you've done very well on tenders overall in the past year but how is that changing now? And also maybe talk about if other regions could see a similar pattern. And then finally, on the record 8% EBIT margin, can you just quantify that one-off from the inventory provisions normalizing? And could you also break down how much of the margin improvement was from the gross margin percentage versus operating costs? Thank you.
Frank van Zanten: Okay. Maybe I'll take the second question, and you take the first and the third. On deflation, so overall basically, we still had a slight inflationary impact in the year. But going into the last quarter, we saw more of an impact from deflation. I think overall, tender activity has been treated very well. I think in the North America business, our distribution business, we basically gave some color on the fact that we're going to a change program in that business. We started that in 2019, where we've taken some cost out of the business. We also shared that with the market at the time. Then obviously COVID happened. And we are now going through a change process to make the business more effective from a commercial point of view, but also transforming the business into more of an own brand-focused business. Our business there has always been a little bit behind in terms of the penetration in own brands and we see a great opportunity to grow more own brands in the business. And what we've seen also, we are pretty successful in terms of driving that own brand. We had a few issues around responsiveness. This is a larger business, and we are fixing that basically to give the salespeople a better starting point to compete. But if you look at it sort of longer term, it's actually a very exciting development there to make the business grow their own brands. And we all know what selling own brand means. It's a positive thing for Bunzl. But to get to that point we're going through a bit of a change process.
Richard Howes: Rory, on your point on Q4 underlying growth, we -- at the pre-close we guided to being expecting that to be just over 5% decline. It was a bit worse than that. So, we were -- it was still in the 5s, but it was worse than the 5.1%. As to your point about comparators as we enter the year, we will start lapping tougher comparatives in the first half, because we were still seeing good growth contribution from inflation in the first half of 2023. That subsided throughout the year. And we -- and there's also an element of volume effect as well where volumes are lapping a period when North America was seeing some destocking. So there's, I think the Q1 comps are harder than they were in Q4 for example. But we do expect to see an improving trend in 2024. It does mean that the first half will be in net decline, but we do expect to see growth in the second half for a number of reasons including the soft comparators because clearly the second half has been challenging at least in terms of the volumes. And there are other areas of potential growth. We talked about safety previously. We expect to see some growth opportunity there. There is obviously opportunity, as economies generally return to growth that we would expect to participate in. So that I think covers your questions on -- that was question one. On question three, yes, the one-offs we've seen £15 million of one-offs in 2023 relating to -- largely relating to inventory provisions which have reduced in the second half. We have quite a mechanical approach to providing for inventory on slow-moving inventory. As inventory dropped in the first half, effectively those mechanics have unwound and we see a release of around £15 million. To your point on gross margins, obviously, we don't disclose it per se and it is in the annual report. But you can assume that our margins have increased from around 25%, up to around 27%, so a substantial increase in gross margin. Some of which is acquisition, but a lot of which will be down to margin -- the margin management points that we've been mentioning. David?
David Brockton: It's David Brockton from Deutsche Numis. Can I ask three as well, please? Just following on from Rory's question, and apologies if you did cover it, but can you just give a bit more clarity as to what you are expecting in respect to deflation through the course of this year within the guidance? Secondly, in terms of the £258.8 million deferred and contingent consideration, can you just touch on the phasing of that? And then finally, just in terms of the leverage target that you have. Clearly, the business is not going to go anywhere near that over the medium-term horizon, unless something changes in terms of either the sort of frequency and magnitude of acquisition spend or some form of capital returns. So can you maybe just give a bit more clarity as to when or how you think you will go back towards that target? Thanks.
Richard Howes: Yeah. So let me take those points. So with regard to deflation, we are seeing deflation in North America exiting 2023. We're not seeing deflation in any of the region at that point. In fact, we're still seeing some quite good contribution to growth from inflation in the second half in Continental Europe and the UK. I think we should assume that that will continue into the first half. But we are seeing some inflationary pressures. So the things like what we're seeing in the Red Sea is increasing container prices. Now that largely lands in our UK and our European operations given the -- that's where most of the routes coming from Asia through the Red Sea that way. We're also seeing however, the opposite way because we import from Europe in our Australian business. More recently, we are seeing container prices increasing more broadly, as I think the general capacity imbalance is now affecting routes into the US as well. So there is -- there are some inflationary pressures out there. I think overall we are assuming our guidance that we see more deflation in the first half and it becomes progressively less as we go into the second half. So I think that covers your deflation question. On deferred consideration, though we've been very active in giving, I think this is the fourth reporting period that we've given disclosure on deferred consideration because these structures we're running are already working. I think it's certainly a great way of engaging new owners who want to stay as part of the Group and want to continue to drive their business and we're incentivizing to do so. It does mean that on the balance sheet, we are -- and off balance sheet, we're putting a degree of deferred consideration out there. As to phasing, because these structures are typically three to five years in their nature, you can assume that the phasing of this deferred consideration there won't be much payment out in 2024 or 2025 about the same level you've seen in 2023 probably about £20 million £30 million. Thereafter, it will be 2026 onwards. 2026, 2027 and 2028 will be the period when most of that will flow. As you've seen though, we took the step of disclosing the EBIT -- the leverage effect it's quite small, but it's notable I think and worth highlighting. As to our leverage target, look, we've done the biggest deal we've in our history today. So that's an excellent step for the Group. And I think demonstrates the benefit that we've got from having what we'd see is the optionality. We've created optionality over the last few years, with the amount of cash we've generated, the amount of investment we've undertaken in M&A. It's pushed our leverage to the point where we now have a real opportunity to deploy that sensibly, done in a disciplined way, much like we've done with Nisbets and with Pamark, but particularly Nisbets today. So look, we would very much prefer that's the best route for us to allocate capital. Obviously, if there are -- if we get to the point where leverage is at a level where we think we should do other things we would. And as Frank said, we very much consider that that's definitely on our agenda. I think it's fair to say that you can probably expect us looking more towards the bottom end of that range than the top end of the range. But I still think if we can deploy capital in the same way as we have today that we should assume it's something that at some stage that is -- that could happen. If it doesn't happen naturally by M&A, then we'd look for other options. Suhasini?
Suhasini Varanasi: Hi. Suhasini from Goldman Sachs. A few from me please, just to go back to the phasing of organic growth for 2024, I think you mentioned earlier that 1Q was looking a little bit weaker than expected. So are we looking at similar mid-single-digit declines improving in 2Q and then, returning to growth for second half of the year and that gets you to your low single-digit decline organic? Maybe I'll take it one-by-one, if that's okay.
Richard Howes: Yeah. So yes, look, I think, you could assume that in the first -- I think it's fair to assume that Q1 is going to be similar to Q2 -- sorry to Q4, but probably a little bit better but it's going to be similar. Thereafter, we are expecting sequential improvement throughout the year. I do think the first half will be net negative but there will be net growth in the second half.
Suhasini Varanasi: Thank you. If -- and you mentioned that you increased your own brand penetration in North America. So if you had to compare the mix in 2023 versus 2019, is it possible to share the numbers or the percentage increase in the mix?
Frank van Zanten: Yeah. I would say, over a longer period of time, we've been growing about 1% per year. So I think in 2019, I guess it will be around 20%, 21%. And this is a combination of growing own brand to acquisition mix, because if you buy a safety business that sometimes comes with 80% to 100% own brand. Because I do want to reiterate that, we do have a strategy to build own brand. But we still buy 75% which is not own brand. And our partnership with our strategic suppliers like Kimberly-Clark and Essity, Diversey, Ecolab they are very, very important for us to work together. I mean you see often, in more sort of commodity areas and in the safety processing areas you see the ability to own brand, because we are a bit higher up in the supply chain where we act like -- almost like a manufacturer that outsources their production. So it's a mix of acquisition and just growing. I think we're talking about in North America for instance that's really growing own brand in our own business. And it's an exciting opportunity. We continue to build and expect that percentage to continue to go up over the next couple of years.
Suhasini Varanasi: Thank you. Last one from me. Any trading day effects that we need to be aware of for 2024?
Richard Howes: Say again.
Suhasini Varanasi: Trading day effects?
Frank van Zanten: Trading day effect.
Richard Howes: Oh, yes. Yes I mean there's a -- it is a leap year 2024. So you should assume that there is one extra trading day. So the difference between -- so we're guiding to underlying those. So we're adjusting out that in our guidance that you'll have to add a bit on to get back to organic.
Suhasini Varanasi: Thank you.
Richard Howes: James?
James Rose: Hi. It's James Rose from Barclays. And I've got two please. First is on outlook. So you've guided to flat profits, although organic revenue seems slightly weaker. Can you sort of explain, what's the difference or the sort of change in costs there? And what's changed since your views in December? And then secondly, on deflation. How widespread is it within the North American business? And has it become more widespread? Is it just in certain categories or certain customer types? Appreciate your thoughts there.
Frank van Zanten: Yes. Maybe I'll take the second one and you can take the first.
Richard Howes: We're -- our guidance is for -- when we -- when you say flat profit, we're guiding to no change in profits. It provides from our profit guidance we gave at the pre-close. So we - and you're right, we're pointing to an organic revenue number that we think is slightly lower than it was at the pre-close. The balance is margin. You can see, we've exited the year strongly on margins. There is those one-offs to take into account. But overall, I think you could assume that the margin we were talking about at the pre-close for 2024 is a bit higher in this latest guidance. So margin up, revenue down a little bit.
Frank van Zanten: Yes. In terms of deflation in North America, so we saw sort of North America inflate the earliest and sort of deflates also the earliest, mostly around plastics. So paper has been quite strong still in the other categories also. So we hardly see any deflation in the safety sector for instance, mostly around plastic. So -- and so that's most relevant in our large distribution business that sells to grocery and to food redistribution like packaging and stuff like that.
Richard Howes: Kean?
Kean Marden: Sorry. Thank you. It's Kean Marden from Jefferies. Just first question regarding the agri business in the US, which I recall being quite high margin. Was there appreciable headwinds to its profitability from some of the factors that you called out in the statement in '23? And presumably, should we assume that those rewind -- or sorry unwind in '24? And then a few questions on Nisbets. So, do you have a view of how long it will take to cover WACC for that transaction? Is the route to that through organic revenue or through margin or a mixture of the two? And then finally, is the online customer feedback on Nisbets fair? Or is it a better quality business than sort of those comments might suggest? Thanks.
Richard Howes: Yes. So yes, our agri business in -- agri businesses do have a -- we don't like talking about the weather, but it does have a tendency in agricultural businesses to occasionally have an effect and it did do in 2023. The flooding in California in the first half in the first quarter in particular had -- did have an effect. The growers lost a crop. And as a consequence, we were selling this packaging into the -- into those fields. It did have a profit impact as well, you're right. And I think it is part of the bridge for 2024 that we're not expecting that that repeats. It's a relatively small business though Kean. It's not the biggest part of what we do, but it is -- these are very good businesses. On Nisbets, obviously we're very pleased to have Andrew Nisbet's business as part of the Bunzl family. It's a great business. To your point on WACC, yes look, we do look at as and when do we think the return on invested capital will meet or exceed our weighted average cost of capital. I think that's going to take place probably in year three or year four, maybe more year four than year three. It is fair to say, that their own plans are better -- would have that sooner. But I think to be more reasonable, I think we can assume year three and year four. There are some synergies that we could -- that will be achieved at some stage, not huge in that context. But we do see it as a very -- I think it will come from a mixture of both organic growth and margin improvement. I think together, we do -- we're quite excited about the margin opportunity in this business. To your online comments, look, we're -- we know this is a very strong omnichannel business. We've been tracking it for many, many years. Andrew has built an excellent business. And I'm not going to get into any specifics on any comments that you've particularly seen, but we're very confident that this business has got a strong future. Gerry?
Gerry Hennigan: Gerry with Goodbody. Just one piece out of here. The decline in North American packaging in terms of takeaway packaging, is that corporate-led or is it regulation-led in terms of state by state? And what do you see as the trend there?
Frank van Zanten: Yes. I think, what we're basically explaining there is, what we've seen is -- you remember, during the COVID years, we've been separating out COVID products from the base business. And -- but you see a broader COVID effect than just these eight products basically. And so, what became repaired and it was mostly in the let's say, in the first six to nine months of the year, last year is that during the COVID years and after, we've seen elevated levels of people going to pick up food from a restaurant or the restaurant delivering to the homes, which included meal packaging to deliver. And obviously, we've seen after COVID that people are returning to go and eat in a restaurant. The spend by person on the packaging delivered to the homes, is higher than somebody returning into the restaurant. So, this is not a mask or a glove COVID product. This is like sort of a wider impact. And so, we've seen that sort of normalize. And so that explains also sometimes, when you see some of the food liner -- food suppliers, the broad liners in the US, they're showing higher growth. But when we talk to our customers there, they see these packaging products also declining year-over-year. So, that's consistent with what we have been seeing. So, these are these broader things. But the bottom line is, the turnover is still 29% higher than 2019. Any more questions?
Frank van Zanten: Well, thank you very much for coming. Thank you.